Operator: Good morning. My name is Christina, and I will be your conference operator today. At this time, I would like to welcome everyone to the América Móvil First Quarter 2020 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Now, I will turn the call over to Ms. Daniela Lecuona, Head of Investor Relations.
Daniela Lecuona: Thank you. Good morning, everyone. We're here today to present our first quarter 2020 financial and operating results. We hope everybody's safe. We have today on the line, Mr. Daniel Hajj, our CEO; Mr. Carlos García Moreno, CFO; and Mr. Oscar Von Hauske, Chief Operating Officer.
Daniel Hajj Aboumrad: Thank you, Daniela, and welcome everyone, to the first quarter 2020 financial and operating report. And I'm going to pass to Carlos so he can give us a summary of the first quarter results. Carlos?
Carlos García Moreno: Hello everyone. Good morning, everyone. We have presented results yesterday. And it shows that our first quarter yield is showed a limited impact so far from the pandemic. Our consolidated results were strong, with all our main operations performing well. However, as the contingency measures were enforced in all countries, most of them are on mid-March, operational trends began to change. There is no clarity as to the duration or magnitude overall or its impact in the countries where we operate. In América Móvil, we have been fully committed to ensuring the continuity of our top-quality services, prioritizing the health and wellbeing of our clients and employees, and adapting our processes and commercial plans to accommodate the needs of our subscribers. We will continue to work together with our various stakeholders in all regions. Signs of the emergence of the coronavirus pandemic in China early in the ﬁrst quarter and of the ensuing contagion of other regions, ﬁrst in Europe and then in the Americas, brought about a chaotic response we sponsor ﬁnancial markets concerns are a major economic contraction would follow. Over the last several weeks, before the partial lockdown of various countries has resulted in a sharp collapse of economic activity and rapidly rising levels of unemployment. Most Latin American currencies depreciated versus the U.S. dollar with the Mexican peso losing 25%; the Brazilian Real, 29% and the Colombian peso, 24%, in relation to the levels at the close of 2019. The operations, we gained 1.4 million mobile postpaid subscribers in the first quarter, including 874,000 in Brazil and 215,000 in Mexico. In addition, we incorporated 3.5 million postpaid clients that came to us with the acquisition of Nextel Brazil. Fixed-broadband is still the main driver in the fixed-line platform. We connected 432,000 new accesses, including 107,000 in Brazil and 105,000 in Mexico. Mobile postpaid and fixed broadband continued to be the main drivers of access growth with 7.8% and 3.5%, respectively. All other access lines continued to decline year-on-year. Our consolidated revenues expanded at a rapid pace as several operations, including Mexico, Brazil and Colombia, posted the best revenue increase in at least [indiscernible]. Consolidated revenues was MXN 250 billion, we're up 1.8% year-on-year in Mexican peso terms, with service revenue growing 5.0% at constant exchange rates from a year before and EBITDA rising 8.3%. Mobile services were the main driver of revenue growth at 8.4%, the more dynamic pace in several quarters, while fixed-line services continued to decline slightly. Mobile service revenues increased 15.4% in Brazil, not including expense, and approximately 10% in Mexico, Colombia and the Dominican Republic. Whereas, fixed service revenues expanded also around 10% in Argentina and Colombia, with Ecuador posting 14.5% growth. Postpaid revenue was up 13.6% at constant exchange rates all throughout America Movil, partly on account of incorporation of Nextel. Several countries experienced an acceleration of revenue growth. Prepaid service revenue expanded at 3.9% all throughout the group, although, Mexico, Colombia, and Dominican Republic where the prepaid is more relevant, so 13% increases. Mobile ARPU growth in most countries from the year before driven by data services and data consumption per client at this time increasingly rapidly. Fixed-broadband revenues up 7.8%, which is the second-most dynamic business line in our group as the mobile postpaid, did not manage to fully offset the decline seen in both handset and TV revenues. Peru, Colombia and Ecuador presented sequential improvements and the best results in over a year. In Mexico, prepaid revenues, as I mentioned before, shot up 13%, with postpaid revenues accelerating to 6.8%. On the fixed-line platform, broadband revenues hovered around 3% and fixed voice continued on an improving trend, all of which resulted in EBITDA shooting up 12%. In Brazil, pro forma and this is of including Nextel for the full year for comparisons, mobile postpaid revenue growth has stood at 17.2%, with prepaid trends improving. On the fixed-line platform, broadband revenues expanded 6.3%, but [indiscernible] PayTV [indiscernible] on the declining trend. Nonetheless, EBITDA shot up 7.5%. In Colombia, Service revenues expanded at similar rates from both in mobile and the fixed-line platforms, approximately 9.5% on each one. On mobile prepaid revenues shared 13.5%, with postpaid moving up to 7.7%. On fixed-broadband service revenues continued to shine at nearly 13%. EBITDA expanded rapidly in all our main operations, rising more rapidly in Mexico, nearly 12%. In Brazil and Colombia, EBITDA was up 8.2%, as we had mentioned before. Peru stood out with a 13.5% year-on-year increase. Competitive financing costs totaled MXN 79.6 billion, resulting from MXN 93 billion in foreign exchange losses stemming from the depreciation of the Mexican peso vis-à-vis the U.S. dollar and the euro. They gave rise to a MXN 29 [ph] billion of net loss in the quarter. Most of our debt have been raised in international markets, as we all know, in hard currencies. If the company is directed in Mexico, the revenue is, therefore, subject to foreign exchange valuations. However, the exposure arising from this funding is managed through the use of financial derivatives and have been significantly reduced over the last several months to better conform to the currency mix of our revenue base and equity investments. Our net debt in this March is MXN 117 billion. In cash flow terms, it was up MXN 24.6 billion year-to-date, which helped us fund a seasonal increase in working capital. Our net debt-to-EBITDA for the last 12 months stood at 1.7x -- 8.7x -- 1.87x under the prior methodology of IAS17, which is the one that we have continued to use for comparison purpose since last year. So with this, I would like to pass the floor back to Daniel. Daniel?
Daniel Hajj Aboumrad: Thank you, Carlos. Yes. First question?
Operator: [Operator Instructions] Your first question is from someone from the Bank of America. Please state your first and last name. Your line is open.
Rodrigo Villanueva: Yes, thank you. Hi good morning, Daniel, Carlos, Oscar and Daniela. I hope you and your families are well considering the crisis that we are going through. This is Rodrigo Villanueva from Bank of America. I have a couple of questions. First, why does growth across countries in Latin America has been pretty solid for AMX over the last several quarters, mostly driven by increased data usage? Now that many customers are probably using more Wi-Fi networks due to the stay at home measures, would you expect to see significant reduction in wireless data growth? That would be my first question. Thank you.
Daniel Hajj Aboumrad: Good morning, Villanueva. I don't hear you very well. The question was -- is it stand out on capacity, people is using a lot on Wi-Fi. And what I can tell you is that we have almost one month with a lockdown in all the countries and capacity in wireless is growing around 10% more than what we have been seeing it's growing, but that's one issue. The other issue in that is that there are some places like the commercial areas, where we have a lot of traffic and this traffic is moving to places where people live to more to residence places. So it's not only the growth of the traffic, it's also that the traffic is moving from one place to another on the same city or from one place to the other one. Let's say, in places where we have a lot of tourism, this is really -- the traffic is go down very fast and moved to places where the people live right now. So it's incremental. It's not so much. It's 10% more on what we have been seeing, what we have been having, but the moving of the traffic is the one that is -- we are reviewing. And all overall, what we're seeing is that all the big investments that we have been doing in the last years in, let's say, 4.5G; 5G-ready; modernizing the networks; the fiber; putting in new technology; increasing our backhaul, we have, I think, the greatest backhaul in Latin America, all single RAM [ph], single RAM [ph] permits us to move also traffic very fast from one place to the other one from 2G to 3G to 4G to 4.5G. So all of those things have been helping us to have very good capacity and so we have a stress test all the networks and everything is working perfectly.
Rodrigo Villanueva: Understood, thank you very much, Daniel. And then my second question is related to CapEx deployment. At the beginning of the year, the target was of around $8.5 billion. I believe you already revised this number, probably 20% lower. And I was wondering if there is a possibility to take it even lower than that? And where would you be focusing your investments in 2020? Thank you.
Daniel Hajj Aboumrad: Yes. It's a very important question. And first, I want to again repeat that we have the best networks in Latin America today, by far. So all the investments that we have been doing the last 5 years, again, in everything, frequencies, infrastructure, 4G, 4.5G, 5G, [indiscernible], VoLTE [ph] one RAM, single RAM, everything. It's working today. So today, we are seeing that we have an excellent networks, that the networks are growing -- the traffic is growing without any problem. And today, it's difficult because we don't have visibility on really what is going to happen. Because today -- what's happening today? I think second quarter -- I see the COVID crisis in two ways, okay? The second quarter, I think we're going to see the lockdown in all the countries. So containing the virus, and what we're going to see there? There is not going to be too much people not in the streets. So everybody is going to be in their houses. So no -- not a lot of activations. So in terms of prepaid, I don't see that we're going to sell too much. I don't see that in handsets, it's going to be reduced a lot. Handset traffic is going to grow, and that's going to be more or less what we see in the second quarter. In the third quarter, we're going to see other things? No. We're going to see some problems all around the world in the economic part. So that's very difficult to see the visibility on, what is going on in the rest of the year. And I think, yes, that we can defer part of our CapEx, an important part of our CapEx. And all of that will be without sacrificing any of the quality, on the capacity availability and having always the best technology there. But yes, we can reduce far below the 20%, yes.
Rodrigo Villanueva: Thank you very much.
Daniel Hajj Aboumrad: I don't have a number. We are -- and we are a very flexible company. So we can stay at -- when we have more visibility, then we're going to take the decision what we are going to do, which projects we are going to take out or defer and which other ones we are going to put. And -- because things are moving, so I think projects like online projects, I think our traffic online is growing a lot in terms of things that we do online instead of doing personally in the customer care center. So all these projects, I think we're going to move faster than what we have been doing, but other ones, maybe we are going to stop them. We need to see really what's going to be end of this, and what's going to be the traffic, and then we're going to take the decision on that.
Rodrigo Villanueva: Understood Daniel, very clear. Thank you very much.
Daniel Hajj Aboumrad: Thank you.
Operator: Your next question comes from Marcelo Santos from JPMorgan. Your line is open.
Marcelo Santos: Hi good morning. Thanks for taking the question. I hope you are well and stay well. The first question would be, if you could give a little bit more detail on the behavior in the last two weeks, especially – two weeks of the quarter, especially in the main markets, Brazil, Mexico, maybe Colombia, on how the different lines behaved? Like, we saw, for example, prepaid very strong Brazil and Mexico in the quarter, but how did that behave towards the end of the quarter, if you could anticipate a bit of what happened in April? This is the first question.
Daniel Hajj Aboumrad: Yes. Well, the COVID crisis and the lockdown starts in second -- first week in Austria, maybe second and third week in the other countries. So in April, we have locked down all the countries in Latin America. I think Europe, Austria, is different than what we have in Latin America. In Latin America, what we're seeing is very different things in each of the countries. I think we have more strong lockdowns in countries like Ecuador and Peru. In Mexico, Brazil and Colombia, we passed from Phase 1 then to Phase 2, and then we are in Phase 3 in Mexico, let's say. So what we're seeing, all overall, in the main countries is a big reduction on handset sales. So handsets people is not getting out and buying handsets. On the postpaid side, I think activations are decreasing. Revenue, I think, it's okay. In prepaid, not big reductions on the prepaid side as people who can't go out or they are not -- they don't have the money today to buy these cards. So it's more or less what we are seeing in the big countries. In other countries where the lockdowns are more strong like Ecuador and Peru and that some regulations that you cannot disconnect the subscribers or postpaid subscribers, then we're seeing a little bit of -- some people who is not paying, and then we need to see when the lockdown is -- yes, is finished, then we're going to see how many of those will pay and how many of these accounts will cancel. But all overall, I think, during April, we were seeing these indicators. Now as activations' low, handsets -- selling assets going down very fast and the revenue is more or less a little bit less than what we had in March.
Marcelo Santos: Thank you. Just a follow-up on this first question. Broadband remains at a strong pace in April? This will be the follow-up. And the second question is, you comment about government action, could you summarize whether the main government actions in the countries, which affected you in a relevant way? You mentioned Peru, you mentioned Equator, but are there other important government actions that impacted you elsewhere? Thank you.
Daniel Hajj Aboumrad: I mean, in broadband, broadband is doing good. Broadband is still growing even with everything closed in April broadband is still growing in April. Let's see, what's going to happen in May and June. But broadband, fixed-broadband is growing. It has been a very good product and people consuming. So that's doing okay. So I think it's the best product right now in terms of the lockdown, it is the one that people is asking for. And other products like all the things -- Oscar can talk a little bit later about what we're selling because there is a lot of people going to home office, and we're having a lot of sales on these products. And in governments, well, I think, let's say, let's talk a little bit about Mexico. In Mexico, we have been helping in prepaid. We give maybe to 28 million customers we gave for free a package of minutes and SMS during April. We offered to all of our prepaid customers, the ones that download that package is for free, and they can talk some minutes and SMS. They do it for free. We have also some reduction in our plans for this timing. So if you don't pickup -- you cannot pay, then we reduce the rent for two or three months until everything is done, and then you -- and then increase your postpaid plan. So we're having all around the countries a lot of different plans, and we call them sometimes emergency plans for our people to help them and to stay connected, and so we have that. In terms of the regulators, I think the only thing that I don't think it's a very good idea, let's call them that way, is that people -- they allow them not to pay. So some like Ecuador and Peru, they said, if you cannot pay because we are in lockdown, then you cannot disconnect the line. I think that only -- I think these two countries and maybe other ones in Central America, I don't remember exactly which ones, we have that. But I don't think it's a good idea for mobile, and that's only in those countries where we have that.
Marcelo Santos: Perfect, thank you very much, very clear.
Daniel Hajj Aboumrad: Thank you.
Operator: Your next question comes from Maria Azevedo from Santander. Your line is open.
Maria Azevedo: Hi, thank you everyone for taking the questions. My first question is on competition. So you're seeing lower churn, especially where the stores are closed and players are adopting a more defensive mode. Telefónica reducing the focus in some countries. Do you think you can be a bit more aggressive commercially or is it time to be more defensive?
Daniel Hajj Aboumrad: I think it's -- I don't see more aggressiveness in the commercial side in April. I think everybody is a little bit -- and doesn't make any sense because nobody's in the street, nobody is buying. So doesn't make any sense to have more aggressive products in April. I don't think in May. I don't know really when we'll finish this lockdown and people start going out and start going again and buying things. So I don't know how the competition would be. But I think I'm not seeing more aggressive plans all overall in the countries and it's base. So doesn't make any sense and I don't think so. I think, today, what we need to do is to take care about our customers, to have a good quality to give more options online to all our customers and to work on having the capacity, the quality and to give a very good service. I think people working from their homes need that service, and we're giving them that. And I think all overall in Latin America, by far, we are the best networks in Latin America.
Maria Azevedo: Thank you very much. This is very reassuring. And as a follow-up question, I mean, as you're approaching your leverage targets and cash flow remains strong, do you see any interesting M&A opportunities, not only in Brazil but also in LatAm in general? And if you can comment anything on synergies expectations from the Nextel Brazil acquisition, that would be very helpful? Thank you very much.
Daniel Hajj Aboumrad: I don't hear the first part of the question. But in Nextel, I think we are working on the synergies. I think it was very good for us. We incorporate 3.5 million customers, postpaid customers, to our base in Brazil, and we're working very hard on all the synergies. We are not going to get it immediately, but I think in the next year, all this year, we're going to work on that. We have a plan, and we're executing that plan. So I think it's a very good purchase for América Móvil. Other things on mergers, we are not seeing any other merger today. We're only focusing today on being very strong financially to have liquidity to be careful on the inventory because today, liquidity, cash is very important, and we are being very careful and Carlos can talk a little bit about that. But no, we are not seeing anything on buying or merging something in the short term. Always, we are open to anything, but today, we are not seeing anything.
Maria Azevedo: Perfect, thank you very much.
Daniel Hajj Aboumrad: Thank you.
Operator: Your next question comes from Carlos de Legarreta from GBM. Your line is open, please go ahead.
Carlos de Legarreta: Thank you, so much for taking the question and I hope you everybody is safe and healthy. And my first question is perhaps for Carlos, if you could provide more color on the measures you have taken to improve liquidity, specifically the amount of credit lines that we have drawn and the numbers still available? Thank you.
Carlos García Moreno: Can you repeat your questions? I couldn't hear you.
Carlos de Legarreta: Sorry, Just regarding the measures to improve liquidity. Carlos, if you could talk about the credit lines that we have drawn and the ones that are still available that will be helpful? Thank you.
Carlos García Moreno: Okay. See, what we have drawn out -- we have drawn two committed lines. So we have one for USD 2.5 billion and the other one for a little bit lesser than EUR 2 billion. We basically happen to be able to save situations when -- on account of there is nothing to do with the company. After the first trade the financial markets will not be functioning properly. So we have decided to draw on these lines [indiscernible] towards the end of March, financial markets were pretty much dislocated. So I think that we are in a good position. We had a big amortization to do -- to have at the end of May, which is a 3 billion Eurobond that was exchangeable into KPN shares. This bond, we traded for one or two weeks ago and that we have already paid down roughly half of the bond, so the other half will be paid at the end of May. We do have a number of other lines of credit. They are all short term in nature. But I'd say, in all, I think we have probably 1.5 billion of lines that are partly being used today, but not fully. We do not expect that it would require any further financing to be able to pay down the maturity that we have this year or even next year. I think the cash flow, we think, will be resilient and should allow us also to maintain good liquidity.
Carlos de Legarreta: Thank you, that's very helpful. And if I may, a followup, regarding collections, would it be possible to talk about how dependent is the per channel payment for collections? And is that going to be a problem down the road if the lockdown measures extend?
Daniel Hajj Aboumrad: That -- the question is about quarterly collections?
Carlos de Legarreta: No. Just overall, the collections, how much are they independent on in-store payments and given that most vaults are in customers centers, so is that going to be a problem down the road?
Daniel Hajj Aboumrad: I think this is something that covers many countries. So you have a different situation with most places, obviously [indiscernible] is not a issue, it's directly linked to the charges. In the case of invoices that we collect, there could have been a little bit of a disruption account -- for instance, whenever banks have been closed. But we have been moving everything more to digital payment mechanism. So we are at this point not having much to present as general for the group as a whole. But this is something that we are monitoring closely, both the cash collections overall and the past few accounts, account receivables. We monitor this very closely. I don't think that there is anything that we can report as significance at this point. We're paying a lot of attention and making sure that we don't have any issue.
Carlos de Legarreta: Thank you, so much.
Daniel Hajj Aboumrad: Thank you.
Operator: [Operator Instructions] We do have another question from Fred Mendes. Please state your company, your line is open.
Frederico Mendes: Good morning, everyone, and thanks for the call. I have two questions here. I want to -- more towards Brazil actually. I saw once again, very strong results on the mobile segment and my apologies if this question was already made, just I had to enter the call late, but very strong results once again. You are delivering like 10% growth services -- mobile service revenue, while the other guys are delivering like low-single digits, so that definitely calls the attention. So I'm just wondering if these very solid results, even on the prepaid as well, close to 5%, if these solid results comes more from your doing lot of selling on your own base? So basically, of course, increasing ARPU and then selling more for more, more data for more price or are you basically being able to gain a lot of clients from competition? And if you can give us that, if from any specific company as well? So just trying to understand the very strong results on the mobile front in Brazil. Thank you.
Daniel Hajj Aboumrad: Yes, thank you for the call. And yes, we have very, very good strong results in América Móvil, also and especially, in the postpaid and prepaid side in the mobile side and we can see that in Mexico, we had very strong results. And that's really because the -- I insist it's because of our good network so people is preparing to move to our network. So it could be a little bit more on consumption, but there is also part that will be on gaining market share. So in Mexico, definitely, we are doing very well. People is -- we have the best distribution networks, so very good brand. We have -- recently, we have opened signal study where we have the best availability, uplink, downlink, latency and people is looking for quality. So that's very important, and that's why we are growing. In Brazil, also, we are growing very, very strong. We have been putting a lot of money in the CapEx in the last years in postpaid, in prepaid, in all the mobile side, growing coverage, growing 4.5G speeds. We have the best speed in 4.5G in Brazil. I think we get almost 1 million subscribers per quarter for the last three or four quarters. So that's also I think we are gaining, let's see, the last numbers when everybody reports, but I think we are also gaining a little bit on market share there. And Colombia also moving good. We are growing in Colombia, we're growing prepaid and postpaid, very strong prepaid and very strong postpaid. So all overall, in the rest of the countries also, we are doing good. Chile, we're starting to grow again and Peru, we're doing excellent. Dominican Republic very good. So all overall, we are doing very good. In Mexico, especially, we have very good -- we have been having very good increases in the prepaid market. Prepaid has been growing very strong, using a lot more data moving to better balances. We used to charge, let's say, MXN 50, and today, we are charging MXN 100. So people is moving and people is consuming more and more in prepaid in Mexico. So I can tell you that it's distribution, it's competition, it's more consumption, better networks, everything together. I cannot say that's something that, that is what is helping us. Now I think it's all over all, a big work on the last three years, two years that is giving us these results today.
Frederico Mendes: Thank you very much, Daniel, very, very clear, thank you.
Daniel Hajj Aboumrad: Thank you, thank you.
Operator: I would now like to turn the call back over to Mr. Daniel Hajj for closing remarks.
Daniel Hajj Aboumrad: We just want to thank you, everybody, for being in the call. Carlos, Daniela, Oscar, thank you very much, everyone. Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.